Operator: Good morning. My name is Jessica and I will be your conference operator today. At this time, I would like to welcome everyone to the IAC Fourth Quarter Earnings Conference Call. [Operator Instructions] Thank you. Tom McInerney, CFO, you may begin your conference.
Thomas McInerney: Thank you, operator and thank you everyone for joining us this morning for our Q4 2011 earnings call. Barry and Greg will make some brief remarks, after which I come back, and then we'll go to Q&A. But first, I'll remind you that during this call, we may discuss our outlook for future performance. These forward-looking statements typically are preceded by words, such as we expect, we believe, we anticipate or similar statements. These forward-looking statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our Q4 2011 press release and our periodic reports filed with the SEC. We will also discuss certain non-GAAP measures, and I refer you to our press release and the Investor Relations section of our website for all comparable GAAP measures and full reconciliations. With that, I'll turn it over to Barry.
Barry Diller: Thank you, Tom. Good morning everybody. They say that pride is a dangerous thing. But I really am very proud of the consistent performance of the company and particularly the work that Greg Blatt, our CEO who has been here just now a year and a month or two.
Greg Blatt: Yep.
Barry Diller: I’ve been here meeting, been in his new position. The amount of attention and aggression and smart that has been brought to the company over this last year has been great. And we all feel that our ability to be consistent over now is eight quarters in terms of growth, is, I think, attributable to a group of extremely talented managers. Now the earnings of the company predominantly in Search and in Personals which are big engines but under the hood of the company, there are a great many initiatives, investments, businesses that we started, or acquired and are building that I think over the next years are going to come through. Certainly not all of them but more than one, I would say, and as you look, I am not going to talk individually about these. But whether it’s Vimeo with its 15 million a month audios, or Urbanspoon or Daily Beast traffic hitting its highest ever this month with 11 million plus uniques where a year ago, year and a half ago it was, I think, 3 million. Or our initiatives with Daily Burn and making a kind of tech-enabled workout system for people is internet and savvy. Or Electus which is, I think it’s almost two years, I think that has made incredible progress, dozens of projects. It’s a first primetime series, Fashion Star debuts on NBC in February, or College Humor making its first movie. There are a lot of initiatives and the initiatives do take investments. And yet we are able to invest and continue to grow substantially. And I think that’s going to be rewarding. So with that, Tom or Greg?
Greg Blatt:  Well, thank you for the unjustifiably kind words. With respect to the quarter, obviously the strong quarter speaks for itself. And Barry mentioned, our results are primarily driven by the performance at the Match and the Search businesses. I feel really good about the outlook for each of them. I think our focus on execution and on near term management has been very solid as reflected in our results. And I think that as we hit that rhythm I think we have been able to focus on some long term initiatives and mix those in, in a way that should really fuel continued growth and hopefully over time expand the definition of these businesses. And I am really excited about the balance that we have been able to achieve there and think it will help to deliver shareholder value well into the future. Also as Barry mentioned, we’ve got a lot of these smaller initiatives. I like to call them unvalued options with in IAC. I think that my own personal focus for the next year is going to be more on those than they have been. I think that there is going to be value there. We are going to be able to unlock it and I won’t predict which one it will come from or how many. But there will be value I believe that will come out some of these things that we don’t really talk about. So I think that’s going to be a real focus. And I think the great thing about, what I see is that, so we start lot of things, we do lots of things, we’ve also been successfully shutting down the things that don’t work. And I think that one of our main roles here in this room is sort of matching resources to opportunity making sure that we are going fast enough on the things that matter and that we are not putting resources against things that don’t have promise. And we are going to continue to try and do that more and do it better. But I think it will be a major contributor at some point to our returns. Finally, a word on Meetic. Meetic, make no mistake, it is a turnaround project for us as you can see from the publicly disclosed numbers. They have lots of subscribers, revenues in decline. And as I said before, our objective for 2012 is to stabilize that decline and start to climb back up again. I think we are as far along as I could have hoped in the process right now. Meaning essentially that we’ve diagnosed the underlying problems, we believe and we’ve constructed a game plan to tackle them and now are in execution mode. By the time we report next quarter, I will be able to tell you how well we’ve been able to execute, and whether that execution is having the desired effect. The good news is the problems we found are familiar to us as we expected. And we’re applying solutions to the problems that have worked here in the U.S. There is a lot in translation risk. Will it have the same effect there that it has had here? But the good news is it doesn’t have to. We think that there will be meaningful positive impact, even if not to the same extent as in the U.S. and that will be more than enough to turn this around and start back on positive trends. So we are excited about that and we will report more detail next year. Tom?
Thomas McInerney:  Thanks Greg. Just before we jump into Q&A, I want to spend a few minutes on some supplemental information as it relates to the results. Obviously overall results were exceptionally strong to round out a truly great year. For the quarter, revenue and OIBA were up 32% and $0.88 respectively, notwithstanding the write-off of $23 million in deferred revenue related to Meetic which impacts both the top and the bottom line. In Search, our B2C operations, B2B operations and destinations websites were all up strongly. As in recent quarters, while the overall pricing or CPC environment was fine at least for us, the revenue growth was predominantly volume led. We saw good revenue growth from existing and new products on the B2C side, existing and new partners on the B2B side and increasingly effective marketing on the destination website operations. So on the profit side, reported OIBA growth was 75%. But I will remind you we had $9.6 million in restructuring costs a year ago. So adjusting for that, OIBA growth was up exactly in line with the revenue growth at about 35%. Going forward, fundamentals look very good. Same principal drivers intact. We’ve said as loudly and as consistently as we can that we run the business, really all of our businesses, for annual OIBA growth, no percentage margins. So the precise relationship between revenue and OIBA growth remains to be seen as we look to grow OIBA over the course of the year. And again, the outlook is positive and trends are good. Match continued its outstanding performance. Excluding Meetic, which was not in the prior year period, so it’s not apples to apples, revenue increased to $123 million or 13%, driven by a 16% increase in revenue from Match’s core operations. Exclude – also excluding Meetic, Match’s OIBA was up 23% as we benefitted from lower cost of acquisition due to better marketing efficiency and a host of initiatives. With Meetic, as mentioned earlier, revenue and profits continued to be impacted by the write-off of deferred revenue as required by purchase accounting. I will remind you this is non-cash in nature as the rules don’t allow you to recognize into revenue, the deferred revenue that was on the balance sheet at the time of the acquisition. This reduced revenue OIBA for Meetic by $23 million, as I said for the quarter. And that was higher than what we estimated on the last call, that was an estimate of – the number just ended up being higher. This was in essence a pull forward of our previous estimates. So the remaining impact in the current quarter Q1 ’12 will be only $5 million, which is less than we previously estimated. Putting aside this accounting effect, as we indicated last time, we are deep in the throes of bringing our best practices to Meetic. So it’s a little too early to see these efforts bear fruit. In the meantime we will remind you that Meetic has historically not made any money in Q1 due to seasonality. So with that and the deferred revenue write-off, it will be modestly negative in Q1 before contributing the rest of the year. Before moving to Q&A, one financials reporting item I want to call out. As you may have seen, we’ve amended our 2010 10-K and interim reports to fix a very old accounting error which emanated in 2002 related to deferred taxes. Due to the somewhat technical nature of the issue, in the interest of time I am not going to go into detail here, and all the details are filed with the amended K. But the off-shot is that stemming from the transaction 10 years ago whereby we exited that traditional media business, we should have had a deferred tax liability in our books that we didn’t have. The liabilities effectively permanently deferred but the GAAP rules for deferred taxes are somewhat idiosyncratic. In some cases, like earnings permanently reinvested offshore, you don’t have to provide for deferred taxes. And in other cases such as this one you do. Anyway, we regret the error but it’ll ultimately have no economic consequence. Final word on cash flow and capital management. You can see in the release, we finished another very strong year of free cash flow with $332 million for the full year. That’s about 8% of our market cap or just under 10% of our enterprise right now – the enterprise value right now. And as has been consistently the case, favorable working capital trends and very controlled CapEx have driven this. And as we look out over 2012, we generally expect continued favorable dynamics here. This has allowed us to be very aggressive buyers of the stock since we last reported spending just under $200 million for approximately 5% of the company and obviously still remaining in a very strong capital position. With that, let’s take questions.
Barry Diller:  Comment the stock percentage over the last five years.
Thomas McInerney: Over the last – since the four-way spins, we’ve essentially bought back $2 billion worth of stock. And it’s just under 84 million of shares. So over 50% growth and over 40% even net of issuances.
Barry Diller: All right. Then let’s go to questions please.
Operator: [Operator Instructions] Your first question comes from the line of Jeetil Patel with Deutsche Bank Securities. Your line is open.
Jeetil Patel - Deutsche Bank: Thank you. A handful of questions here. But I guess when you look at the Search business out over the next several years, in particular kind of the non-destination site, kind of how do you think about the longer term growth rate of the business in terms of products, managing it? In general, kind of how do you think about kind of sustaining that growth or balancing that growth as you look out over the next several years? I guess, maybe second, more kind of structurally, you are seeing a shift towards tablets, Windows 8 coming out, and all these things are probably – curious if that has any impact on the business as you look forward as it relates to toolbar as a whole since that seems to be a broader concern that we keep hearing. And then as it relates to Meetic, I’m curious, I guess any surprises, any themes or strengths or weaknesses inside the business as you’ve had a chance to now dig into it for a bit?
Greg Blatt: Okay. Let me try and take those in order. Look, we feel really good about the Search business over the next few years. I am not going to sit here and tell you that the growth rate that we’ve had this quarter and the past few quarters is going to be the growth rate over the next three years. I also want to tell you it won’t be but I don’t sort of make those kinds of predictions. We feel really good about the fundamentals. I think if you look at the destination site, which I know you sort of brushed aside but I don’t think we should. We’ve really been developing the core Ask product, differentiating news content and community and it’s paying real dividends. We found lots of successful marketing channels for it. We’ve actually begun to brand advertise for the first time in several years, with a real positive ROI. And I guess, I would say and I look around the room, but for the first time, maybe since we bought it, I think Ask is really hitting a stride. It’s growing, it has a strategy and it’s executing on it. So we feel really good about the destination side. On the B2C side, we also feel really good. That’s a product development business and a marketing business. And now we feel really good about where we are on that. I think if you look at our growth this year, quarter over quarter, most of that growth in the B2C side came from new products. They are developing lots and the contribution of the top 10 products to total revenue is declining. Meaning we are getting better breadth and I think the focus there is going to be on really, I think, creating certain products and investing products make them a little more durable, which allows for diversification of revenue streams beyond Search and also greater efficiency in marketing. But we feel really good about the progress there and there is certainly no decline in the need or opportunity for the types of products that we distribute and we feel really good about it. On the B2B side, we are also rolling. We’ve added partners, meaningful partners over the last year while growing with our existing partners. The download world is not going away, and we think there also the real opportunity is not just with the Search business that we are in, but also diversifying revenue streams going forward. So we feel really good about all three legs of the business. I think with respect to the shift to tablets, and the diversification away from Internet Explorer, look, I don’t have the exact stats. But two years ago, Internet Explorer’s share of the marketplace was much bigger than it is now. We made – we had zero presence on Chrome et cetera. We are sort of Internet Explorer business. The world has gotten meaningfully more complicated in this area, and yet our growth has accelerated through it. And I think that, that’s really one of our key success in what’s allowing us to, I think, succeed at the expense of other people who play in this space. Differentiate that from a Google or a Big but there are lots of people who play in this convenient search space and we’ve been beating them because we are able to handle the complexity. We’ve built an infrastructure to do it. Again, I will take Chrome or mobile as an example, two years ago, we were not there. Now we are. Either not technically toolbars, there are different ways to distribute our search and products across these mechanisms or these devices or platforms, whatever word you want to use, and I think that our ability to meet each of these device and platform challenges or opportunities is the real strength of ours. So I don’t really see that – I mean, it’s an issue but it’s one that we continue to overcome and actually create opportunity out of. So we feel good about it. We are getting on mobile devices through browser deals and that sort of thing. And there is lots of different ways to tackle this diversification, not to mention the fact that even as mobile and tablets sort of are growing exponentially, web-based search is continuing to grow meaningfully as well. So I think that you are not so much talking about cannibalization as you are increasing size of the marketplace and opportunity. And we feel really about it. On the Meetic side, I would say there are no surprises in the sense of something that we didn’t anticipate. I think from the moment that we made our tender offer back in June to today, I think the negative trends we are aware of at the time have been more pronounced than we expected. I think that sub-count at this point in time is lower than we expected. So the hill we have to climb is higher but it’s not different. And we continue to be as optimistic as ever that we can reverse those trends and make that climb.
Operator: Your next question comes from the line of Mark Mahaney from Citi. Your line is now open.
Mark Mahaney – Citigroup: Thanks. Two questions. First just a follow up on Meetic. Could you talk a little bit more, provide any more details on what some of your plans are to go over that hill, and to what extent does that involve maybe major personnel change with that segment? And then secondly, just in terms of – as you think about cash, capital reallocation to shareholders and you weigh share buybacks versus dividends, could you just talk for your philosophy as to how you decide how much to buy back and what to do with the dividend you have in place now, how do you think about raising that over time versus share buybacks? Thanks you.
Greg Blatt: On the Meetic side, first of all, I am not planning any changes in personnel. We are very supportive of the team there and they are doing a great job of really accelerating sort of what I will call, three years, four years’ worth of learning it Match in the U.S. into a very short timeframe over there and they have been great and are working great with the U.S. team. And it’s really a joint integrated effort and so no issues there. I think the changes are highly tactical in nature. They have to do with literally the way you lay out a page, the way you deal with a sub-wallet, certain instances versus other instances. Things that were tried and tested and by trial and error over many years that drove a lot of the success at Match over the last few year are now being brought to bear. So we are as if Match in the U.S., we might have tried seven different iterations of something and then shows them the winner. We are just taking the winner and exporting it there. It is mundane on one level, it’s highly sophisticated on the other, just implementing the means of testing new product iterations with a variety of AB, and other variants and in a way to do marketing, in a way to test and measure marketing efficiency across multiple channels are all things that we are bringing to bear. It’s not some central feature. These are the things that have driven much of Match’s success over the last few years.
Barry Diller: Do you have the roadmap? Do you know exactly what you intend to do with Meetic, which is the expertise that you gain over a long period of time and deploying it in a business to probably, not really at that kind of experiential testing et cetera and process?
Greg Blatt: That’s absolutely correct. We know what we are doing and we will tell you whether it works the way we think it will next year. But we feel good about it.
Barry Diller: Here is the ratio really that, that we follow in terms of the difference between a dividend and the purchase of shares. Do you have sort of dividend policy – dividend because we thought that it made absolute sense for this company which has had consistent cash position, consistent earnings that it made sense to begin, our intention is of course once you start with the dividend, your intentions are to increase it over time. And that is very clearly our intention. On buybacks, we’ve always said we are opportunistic. We noted earlier buying back 50% of the company in relatively few short years is remarkable and we will keep going based on what we think the values are, and what that discount is that’s reflected in everyday spot price. You can really look to our past as to what we would do in the future. And our dividend which is the only good news, as I said, once you start you keep going with increasing the dividend as long as your other (indiscernible).
Operator: Your next question comes from the line of Ross Sandler with RBC Capital Markets. Your line is open.
Ross Sandler - RBC Capital Markets: Just two quick questions. Barry on that theme of using the past to kind of look at the future, given the early successes of the Expedia, TripAdvisor spin, and the success of the original IAC split-up, do you think there is any efficiency to be gained by separating personals now that is a more global business? And then I have a follow up from the previous – one of the previous questions. Internet Explorer is around half the browser market share. Do you guys know what percent penetration you think Mindspark has of that 50% Internet Explorer market share? And then Greg, on the technical side, for these browsers that’s going a while add-ons, or extensions, how is Mindspark technology working around that issues, specifically to have toolbars or that functionality installed on those machines? Thanks.
Barry Diller: Well, I am the spin master. I am so pleased because we started doing this before it kind of became a bit popular spinning things off and when they got to be, we thought, of sufficient size that they ought to be up on their own. And that general sensibility prevails. But I do not think that it makes sense at this time. I don’t think my colleagues at all disagree with me that we would now spin off the personals business or spin off the search business. So I think the real test on that is: are they being maximally managed and in this configuration? And I think results would – could kind of confirm that. As far as the future, I think that depending upon what happens with this company, company is this IAC company, having gone through these multiple spin-offs over these last years, is right now, at very good size with very good prospects. And I think we are going to keep these configurations for a period of time depending upon what happens and grow things and all sorts of other issues pertains. But I don’t certainly contemplate it.
Greg Blatt: I’d also just add to that, which is that, on the one hand, you can look at this, and that they are different businesses. There is no question about it. But there is a commonality amongst them. In terms of the things that you look for it, the things that you need to understand many of their drivers, it really do make this more of a company, I think certainly than we’ve ever had here in my nine years. And I think that, that does lend to real synergies, the word I probably wouldn’t use but real efficiencies of management, ability to collaborate, share best practices and driver other things that frankly, where we have done some of not as much as we should, not as much opportunities there is, moving people around, I think there has been a lot of that. And so I feel really good about the configuration right now. And as Barry says, never say never but I think right now we –
Barry Diller: Not now.
Greg Blatt: That’s right. Tom, did you want to –
Thomas McInerney: Yeah, we don’t have a precise quantification to your question. I think the question was what’s our share on Internet Explorer given their share of the overall market, which as Greg indicated has been coming down. But this is still substantial. I will just say that at the end of the day, the vast majority of people out there have one or more and probably in most cases, more than one toolbar. We have a very significant piece of that market and Internet Explorer is the biggest piece of that market with a mid-50s, I guess share of the browser thing. So by definition, we’re going to have a high penetration of the Internet Explorers that are out there and they are a big piece of our business and everything else. So we embraced that, we’ve been through kind of multiple round, I guess, 10 is coming, 9 is out now. And the evolution is quicker and quicker on the browser side. And as Greg said, in a sense it’s a competitive opportunity for us because we have more resources, probably than anybody and the ability to adapt to very quick and changing browser technology both within a brand, i.e. IE, no pun intended, and also across brand whether it’s Chrome or Firefox or whatever is one of our competitive attributes.
Greg Blatt: And then with respect to the other issue, I am not going to get into the technology differentiation. All I can say is that we are in the business of distributing products that monetize through search. And we’ve found ways to do that, not just on Internet Explorer but on multiple other platforms and devices as well. I can’t speak to the exact underlying technological distinction between them. Toolbar is just a word, it’s not actually the – each of these things has its own code, its own sort of interactions with the platform.
Operator: Your next question comes from the line of Brian Fitzgerald with UBS. Your line is open.
Brian Fitzgerald – UBS: A quick one on ServiceMagic, was there anything in particular driving the increase in service request, on the positive side or pressuring the accepts for requests on the other side? And then on the media side, wonder if you could give us a little more color on the timing of the Electus YouTube channels? And maybe some thoughts process around the focus on culture, Latin culture and food, and the opportunity to expand into other verticals there? Thanks.
Greg Blatt: Yeah, I think on the ServiceMagic side, it’s a very complicated business but in some ways it’s a very simple business, which is you have consumers on the one hand, and then you have service providers on the other. And if you increase the number of consumers thereby service requests which is what we successfully did through better marketing, efficient marketing et cetera. If you haven’t commensurately increased the service providers, then your accepts per service request are going to go down. So we have driven the growth in the consumer side quicker than we’ve been able to grow the growth in the service provider side so that ratio comes down at the expense of the increase in the consumer side. Our trick is to grow both. We are focused on that. We have initiatives but we’re excited over the course of next year, I am confident that those numbers will head in the same direction.
Barry Diller: On Electus, its digital efforts with YouTube. We have three separate ventures and they are now staffed and they are moving forward to develop the content. It will probably not be till I realistically think the end of the year, certainly not for six months or so, six, eight months. But these things will be iterative. They will start and they will, like any program, they will begin, and they will follow one step in front of the other until they kept the vein that they want. The areas that we have chosen, though, are areas that I think are extremely rich and where we have real sensibility. So I think it’s a – look it is an experiment in the sense that YouTube has not followed original content or channelizing a platform, but they are ambitious about this. And they are fully funding it. And it’s very good, I think, for us that cut our teeth against it because it allows us to employ people we wouldn’t otherwise employ, get them in the mix and the system and who knows what happens like any program. So we are glad we are doing it. No one can predict whether it will have any value.
Operator:  Your next question comes from the line of Jason Helfstein with Oppenheimer. Your line is open.
Jason Helfstein – Oppenheimer: Thanks. Three questions. First, you guys continue to sustain double digit organic sub growth at Match, which I think is a surprise on people. So can you talk about your strategy for sustaining the growth there? And then do you expect that to continue for the foreseeable future? Second question, Barry, can you talk about your appetite to continue to sustain losses at Daily Beast and if there is a line in the sand you have drawn when you like to start to become profitable. And then lastly, if we could just get some color on why CityGrid revenue slowed in the quarter. Was it impact from local deals companies, Google initiatives or anything else you want to --
Greg Blatt: Yeah, on the Match side, I have been pretty consistent to that I expect core sub-growth in Match to continue at double digit levels as far into the future as I can see. So it’s certainly not a surprise to me, I think that the market is growing. We are increasingly taking share within that market even as we grow it and expand it. Our execution has been great. I think our brand is increasingly sort of thought of as premium brand in the space. And we are doing it across multiple properties. So I feel really good about it. I think you look at mobile, mobile has been huge growth driver for us, continue to open up new marketing channels, and I think we’ve got plans over the course of this year to do things which I think will continue to make it ever more exciting and to create real hopefully competitive distance between us and our competitors. So I feel great about that. Barry, do you want to take Beast?
Barry Diller: And I will follow.
Greg Blatt: Okay. On the CityGrid side, so I don’t think there was anything major, it can get a little choppy in the revenue because a lot of the revenue comes from sort of resellers, we’ve brought down a fair amount of our own internal sales force and sales efforts which is a big driver of that sort of decline. So if you think about this is having sort of two revenue streams, one of them came down by our own hand because of the efficiency of it et cetera, and the other one – the growth in the other one hasn’t outdistanced that decline yet, with respect to Q4. But it’s nothing I think more meaningful than that, Tom, can you –
Thomas McInerney: No, I think that’s right. We bring on these big resellers and there is a bit of a lumpiness to get them integrated, and the ramp them. And so the timing, just to give a quarter added up to what it added up to. But I don’t think there is something fundamental there.
Barry Diller: We, let’s say, ramped our investment, it’s now on the decline, in a nominal amount, this year will certainly be a loss but it will be less than last year’s substantially. And we are making progress our stats on the Newsweek site in terms of ad pages sold are improving. The book is every issue, I think, improving. We just, this last Sunday, we rolled out or debut our iPad, Newsweek app, which is simply superb. It is a real value add. If you look at the book, and then side by side, you look at the iPad, you see the additional pictures that you can put, the additional video, supplementing stories in different ways. This is a great thing about this wonderful means of communication which is that there is no cost. And adding content, and in every other form, the addition of the content has in a big cost factor, and inhibited by paper stock and also submissions like that, and all the things you know about. With the internet in order to add real value to a product, the marginal costs are almost nothing. Anyway, I think the Daily Beast Newsweek company is making progress, and I am pleased with its progress thus far.
Jason Helfstein – Oppenheimer: Quick follow up. Just back to Match for a second, when do you expect to resolve the app issue with Apple, and they get the app back on the apps store? Thanks.
Greg Blatt: I don’t expect to resolve the issue with Apple. Apple has a sort of set of standards requirement that they have both financial and otherwise to be in the app store. And we decided that didn’t really make sense for us, removing it from the app stores had zero noticeable impact on our business. Our mobile business is booming. In December of 20110, just as an example, 40% of our log-ins were on mobile. That’s over a 50% increase from the prior year. Huge 15% of our new customers in December were coming in through mobile, huge increases. The majority of our users are on Android but a large number on Apple. They are using our web-based product on Apple instead of the app. I think the app store is great for discovery for, I think, unknown brands for brands that spend lots on marketing. They will go where our product is and when we took it off the app store, there was literally zero impact on our Apple business. They just started doing it through the HTML5 product which is close to as good and soon will be as good as any app based product, which is the nature of technology. So anything can happen, Apple can change its requirements for inclusion but we are not – it’s not an active initiative of ours to try and get back in.
Barry Diller: But we may as well. We’d love to. We may see the absolute right decision. The idea that it’s essentially a service charge, would be as high as 30%, makes really no sense for anyone selling almost anything.
Greg Blatt: Certainly not if you are putting meaningful marketing dollars behind. There was no incremental value to us being – but for modest incremental value and beyond the money they also wanted to control the customer relationship and customer care and all these sort of things just didn’t make sense for our business. So we took it off and haven’t missed to be.
Operator: Your next question comes from the line of Matt Schindler with Bank of America. Your line is open.
Matt Schindler - Bank of America: I was looking at this search particularly and you’ve grown now – it’s shown accelerating growth on search for six quarters in a row. And looking particularly at fourth quarter, I think your 35% search and advertising growth, which is mostly pure search. And compared to what Google reported and if you break down Google’s report down to what was an estimate of what their desktop search grew which I think is most comparable for you. Their desktop search revenue growth was around 15%. You are at 35%. Well you can break down search into basically three pieces, there is query volume, there is clickthrough rate and there is CPC or cost per click. Since Google provides your main monetization for search, I imagine that there is not much you can do on CPC and there is not much that changes versus Google’s growth. On the other two, clickthrough rate I imagine there is something you can do there and then there is query growth. So that’s taking share, not necessarily from Google but gaining share on where Google is to clear that gap from functionally 15% to 35%. Where would you break that down and how about it’s happening and how sustainable is that growth if it’s coming from clickthrough rates or revenue per query, how sustainable – how long can you keep up in that difference between you and Google? And if it’s coming from query volume, really where are you getting it?
Greg Blatt: There is a lot in there. I might take a stab at that part of it and then Tom will come up over the top. First of all, there is a lot that one can do on RPQ or revenue per query. And we have a variety of products and they vary dramatically across our product based on different things that we do. So I think that because we get our response listings through Google that we have no impact on that is incorrect. But as Tom said earlier, it has not been the big driver of growth at least recently it’s on the volume side. I think that the way you are breaking it down is against Google I am not familiar with. But the way we think about it is a big part of our business is in what we call convenient search. Okay, and the players that we are competing with that convenient search is not Google, it’s not even Big, it’s lots of smaller companies that you probably haven’t heard of, there are zillion of them are out is real, we deal with them all the time. They are out there. There is info space, there is all these different businesses that play in this area and our competitive position vis-à-vis those players is simply strong and stronger everyday. We are reliable, we have been growing as I said earlier, we’ve got all the technology and ability to handle the changing landscape. And this is all good for Google. I mean, I think to say this is coming at the expense of Google, I think, is wrong. This is search queries that Google would not otherwise be getting, we are getting through growing this area. So really pleased about it. Also, a large part of our query base is international, which I think doesn’t necessarily always get factored into that. I think majority of our toolbars are actually international, not domestic. So it’s very hard to sort of do the kind of math that you are doing to try and get to our growth versus Google, I think it’s a false analogy. Our growth is in ways is Google’s growth and they get the benefit of that. Tom, is there anything you want to –
Thomas McInerney: Yeah, it’s just a couple I’ve got completely consistent with that. I think it depends on how you look at it. I think Google’s revenue from their O&O properties was 29%. So our number is much closer to that, that includes international and so – and then if you look at other B players in search, Yahoo! and AOL reporting this morning were both down in search. So I think we are taking share, if you think of it as a share gain, we are taking it from the smaller players as well as the portable players. But again, we are aligned with Google more than anything else.
Operator: Your next question comes from the line of Kerry Rice with Needham & Company. Your line is open.
Kerry Rice - Needham & Company: You pretty much answered my question there with the last one. So can you talk a little bit about maybe valuation with ServiceMagic, kind of a new public competitor out there and the businesses seem somewhat similar but the valuation I would argue is you are not getting as much valuation for ServiceMagic as your competitor is. And it goes back to maybe spinning things out or making that more visible, I don’t know. But maybe could you talk about what other investments you are making in ServiceMagic to grow and because I know you have been making those investments for a while.
Greg Blatt: Well, I am certainly not going to comment on our competitors’ valuation. But it sort of is what it is and there are a variety of factors in it that make it what it is. And it’s obviously in a different stage than this has a different model.
Barry Diller: We don’t get any valuation particularly for ServiceMagic. And so it’s really de minimus.
Greg Blatt: And it’s what it is and its value is whatever people say it is. I can’t get to the bottom of it. But with respect to ServiceMagic, look, ServiceMagic is a business, it’s profitable, not that the other businesses in the area are profitable. Its growth in revenue is not nearly the growth in revenue and users in that business is. That business is being valued on based on a promise that we will be delivered some day in the future or not, and not just to you guys and investors to decide whether that promise will come through or no. ServiceMagic is delivering. Meaning its profit is its profit, revenue is its revenue. We need to grow it, and we are doing that, I think spinning it off doesn’t change that much.
Barry Diller: No, it’s not right. Time will tell, but it’s not right.
Greg Blatt: Just point on that, which is the local space, the local advertising space, even in home services, is a huge space. I mean, a vast majority of that is going to Google, I would imagine. So this notion that sort of – there are a lot of different ways that people find these providers, and Angie's List is one of them. ServiceMagic is one of them. But neither of them are remotely the biggest and there is just whole other area that we need to grow into and there is a lot of rooms still to go.
Operator:  Your next question comes from the line of John Blackledge with Credit Suisse. Your line is open.
John Blackledge - Credit Suisse: A couple of questions on search. Just wondering if you can frame a couple of things. So again, upside on the top line in search in 4Q, just wondering how we should think about their growth profile in 1Q12, to be up sequentially. And then on search margins, in 4Q flat if you take – ex the 4Q10 charge versus the first three quarters of the year where margins were up. How should we think about margins in 1Q? And then things are going so great over there. I do have to ask about an update on the CFO, on a potential for Tom’s replacement.
Thomas McInerney: Sorry. We have inadvertently on mute. I will take the first one. I think I said in my script that fundamental drivers on search momentum are intact. We are not going to – by definition if you play this game of each quarter expecting to sequentially accelerate, either become the world or it ends, you can’t play that game. But the fundamental drivers are intact, and we don’t see a major change in kind of momentum or direction there on the top line. On margins, because we run the business to drive absolute dollar profit growth year over year, then we will take and so much of our business is driven by online marketing, we will take every opportunity to spend more money if it drives a positive contribution and often that next marginal dollar may be spent on something that percentage wise a lower marketing opportunities.
Greg Blatt: Or where the revenue actually comes in subsequent period.
Thomas McInerney: Yeah, there may be timing things as well. And so look, at the end of the day, I think the kind of margins we’ve been operating at are probably the go forward levels. In any given quarter they can bounce around for a lot of reasons, I wouldn’t read anything positive or negative into sequential quarterly margin progression. If we are getting the kind of revenue growth we are getting, then we will thrilled with flat margins year over year adjusting for the charge as you point out.
Greg Blatt: On the CFO side, obviously we have been in the process, we met a lot of good people. We feel good about where we are. Nothing to announce, we’d be surprised if we didn’t have something by the next quarter. But until it’s announced, it’s not announced.
Barry Diller: Next question. Last question actually please?
Operator: Your next question comes from the line of Michael Graham with Canaccord. Your line is open.
Michael Graham – Canaccord: Just wanted to go back to the buyback for a minute if I could. And you bought back half the company which is really great. And you are on track to do 10% to 20% per year or so. And I am just wondering can you comment on how long this can go on and is there a floor level of either liquidity or shares or market cap, where you still like – you need to kind of knock that off? And then as a follow on to that, the implication of all the buyback activities is that, that’s what you see as the most attractive use of your capital. So can you just comment on, are there other – are you actively exploring expanding the business into other business lines? Thanks a lot.
Barry Diller: The first thing that we do is of course, we say what can we invest in our own businesses, use our capital to invest in what we know and what we – where we think opportunities are in line and then of course, there is a daily opportunity that comes in the door and that you get excited about and use capital for that. We are constantly, constantly, I mean, with certainly multiple number of acquisitions a year, none that takes – have taken large amounts of capital. But we are not certainly shy about it and partly the reason why we’ve always been as overcapitalized as we have been, which is the ability to invest in the businesses, obviously to buyback stock in the company, and to be acquisitive where it makes sense. As far as – I don’t – please don’t get in your minds that every year we are buying 10% to 20% of the shares outstanding because we do not contemplate that. As far as how far you can go, we are not anywhere at a point of not having enough liquidity and not having enough shares outstanding in the market for trading purposes. Nor do I think we will get anywhere near that within the next several years. So that’s not, I think -- not a gating issue for us.
Michael Graham – Canaccord: That’s great. Thank you.
Barry Diller: All right. Well, thank you all very much. If there are no comments from my colleagues, I think that we will definitely look forward to talking with you next quarter and our intent is, of course, to keep this momentum going. But thank you for your time today and get on with other earnings announcements from other players.
Operator: This concludes today’s conference call. You may now disconnect.